Operator: Good day, ladies and gentlemen, and welcome to the ManTech's Third Quarter Fiscal Year 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Stephen Vather, Executive Director, Corporate Development. Please go ahead.
Stephen Vather: Thanks, Chelsea, and welcome, everyone. On today's call, we have George Pedersen, Chairman and CEO; Kevin Phillips, President and COO; Judy Bjornaas, Executive Vice President and CFO; and Dan Keefe and Bill Varner, our two Group Presidents. During this call, we will make statements that do not address historical facts and thus are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to factors that could cause actual results to differ materially from the anticipated results. For a full discussion of these factors and other risks and uncertainties, please refer to the section entitled, Risk Factors, in our latest Form 10-K and our other SEC filings. We undertake no obligation to update any of the forward-looking statements made on this call. Now, I'd like to turn it over to George.
George J. Pedersen: Good afternoon, and thank you for participating in today's call. I'm proud to report ManTech had an excellent quarter. We demonstrated steadfast revenue growth, robust bookings, and outstanding cash flow. The $1.9 billion in contract awards in the third quarter is the second strongest in our history as a company. Additionally, shortly after the quarter closed, we successfully completed the acquisition of InfoZen. (00:02:05) we achieved in the quarter and through 2017 are the results of a growth focused strategy, coupled with the hard work and dedication of the entire ManTech team. Our focus remains on delivering the best-of-breed solutions to meet our customer's needs. In 2018, ManTech will celebrate 50 years as a company, I'm proud of our history of supporting national security and protecting our homeland. Our customers know this steadfast commitment anytime, anywhere. Now, Kevin will provide you with more detail on our operations. Kevin?
Kevin M. Phillips: Thank you, George. I want to begin by highlighting that in the third quarter revenues, net income, earnings per share, and operating cash flows were all up from 2016. We saw sustained year-over-year direct labor growth in Q3, as a result of new contract awards over the 12 months. As George mentioned, we received $1.9 billion in contract awards, a 4.5 times book-to-bill, which is the strongest bookings quarter in five years and the second highest in our history. It also marks the 10th consecutive quarter of bookings at or above 1 times. Equally noteworthy is that approximately 70% of the bookings in Q3 were for new business. A majority of the new work was for federal civilian customers, including the Department of State and NASA's Jet Propulsion Laboratories. Additionally, in the quarter, we won approximately $400 million of contract awards to provide cyber network operations solutions and services for intelligence community customers. Dan and Bill will further discuss these awards later on the call. Our bookings drove an increase in total backlog to $6.3 billion and funded backlog increased to $1.5 billion, sequentially up 28% and 40%, respectively. Over the last few years, we have been focused on expanding our presence with federal civilian customers, primarily in Homeland Security, federal health IT, and more recently, Diplomatic Security within Department of State. We have utilized our exceptional full-spectrum cyber capabilities and our strong national security experience to expand in these markets. In addition to full-spectrum cyber, we are also investing in secured and scalable enterprise IT offerings, increasing our data and predictive analytics capabilities, and continued improvement of our software and systems engineering capabilities. Contract awards in the quarter and throughout 2017, as well as our strong opportunity pipeline, are validation of our strategy and our continued investment in these targeted markets. Clearly, from our Q3 awards and recent string of strong bookings, the outlook for ManTech is excellent. Our customers are increasingly focused on what I view as five overarching demands: speed, innovation, readiness, reduced sustainment cost, and comprehensive security to include fiscal, cyber, insider threat and supply chain components. ManTech has been focused on each of these in our internal investments and in our support to our customers. Now, some brief comments on the budget outlook. The government is operating under continuing resolution and will do so at least until early December. Negotiations are underway, and we are optimistic that Congress will find a path to providing increased funding for national and Homeland Security customers and missions. In addition to the potential budget growth, the overall contracting environment is exhibiting ongoing improvement. We see sustained and strong customer demand as evidenced by our very robust proposal activity, particularly for cyber, enterprise and mission IT and systems engineering capabilities. We remain on track to submit over $7 billion in bids in 2017, and our initial view of the opportunity flow in 2018 supports an equally strong level of demand. Exiting Q3, our total qualified pipeline sits at $20 billion and we maintain approximately $4 billion awaiting adjudication. With our investments in business development and expanded capabilities paying off with exceptional bookings, we are now focused on solid program execution and in recruiting, training and retaining critical and differentiated talent for our customers. Now, Judy will provide you with additional detail and specifics of financial performance and outlook. Judy?
Judith L. Bjornaas: Thanks, Kevin. Revenues for the third quarter were $423 million, up $7 million or 2% compared to the third quarter of 2016. Direct labor was up 5% year-over-year and was the primary driver of our Q3 revenue growth. For the quarter, prime contracts represented 89% of our revenues. Contract mix was essentially unchanged, with 66% of revenues on cost-plus contracts, 14% on time and materials contracts, and 20% on fixed price contracts. Operating income for the quarter was $23.1 million, down 2% from the third quarter of 2016. Quarterly operating margin of 5.5% was consistent with our previously communicated expectations for the second half of 2017. I want to highlight the factors impacting the operating margin in the quarter relative to the first half of this year. In the quarter, we made investments to support our growing pipeline, we had higher material procurements and incurred transaction expenses related to our InfoZen deal. Net income was $15.2 million and diluted earnings per share were $0.39 for the quarter, which was up 4% and 3%, respectively, compared to third quarter of 2016. The effective tax rate was 34.5% in Q3, which was lower than expected due to the changes in accounting rules for stock options and some one-time adjustments. Now on to the balance sheet and cash flow statement. Our balance sheet at quarter-end showed $149 million in cash and no debt. However, we closed our acquisition of InfoZen shortly following quarter close, which we funded with cash on hand and our revolving credit facility. During the quarter, we collected $52 million in cash flow from operations or 3.4 times net income. And our DSOs were 68 days in the quarter, a decrease of 1 day sequentially. The board has authorized us to maintain our current dividend level of $0.21 per share to be paid on December 22, 2017. Now on to the forward outlook. As compared to our previously communicated 2017 guidance, we are raising and narrowing the range on revenue, net income, and EPS. We are now calling for revenues of $1.71 billion to $1.73 billion, net income of $60.8 million to $61.4 million, and diluted earnings per share of $1.55 to $1.57. Achieving the higher end of the revenue range, we'll be contingent on the timing and pace of material procurements as well as the ramp up of new contract awards. The implied operating margin guidance for the year remains at 5.7%. Consistent with what we communicated last quarter, we are continuing to make investments in the business to support the ramp up of our new contracts and to respond to a robust level of bid and proposal activity. At the midpoint of guidance, net income is expected to be up approximately 8% and earnings per share is expected to be up 6% from 2016, benefiting from the revenue growth and an increased percentage of revenues coming from direct labor. Cash flow from operations is expected to be between 1.8 times and 2 times net income for the full year. Built into our guidance are an effective tax rate of 36.8% and the fully diluted share count of 39.1 million shares. Give the strong new business awards and the acquisition of InfoZen, we are providing a preview into our potential 2018 financial performance. In accordance with our normal practice, we will provide full 2018 guidance on our Q4 2017 earnings call in February. But our initial outlook for 2018 suggests a year-over-year top-line growth percentage in the low-to-mid teens. We continue to view a 10 basis points to 15 basis points year-over-year improvement of our operating margins as a reasonable growth target, given our contract composition and our focus on continuing to invest in opportunities, capabilities and staffing which are necessary to expand our business organically. Now, Dan will speak to our defense and federal civilian business.
Daniel J. Keefe: Good afternoon. I'm pleased to report that ManTech Mission Solutions and Services had an impressive quarter as exemplified by our strong bookings. In the quarter, we received an $817 million award from the Department of State, supporting the Bureau of Diplomatic Security. This $817 million contract is by far the largest win of new work in the last 10 years and is indicative of the investments we have made over the last three to four years, that has enabled ManTech to compete effectively against any competitor in our space on these large complex contracts. As previously announced in this quarter, we were awarded a $450 million contract to manage and transform NASA's Jet Propulsion Laboratory's Institutional Computing Environment. On this managed services contract, we will be providing a broad range of enterprise IT management services for 7,000 users, including hardware and software infrastructure management and maintenance, cyber security, helpdesk support, and system administration. Additionally, in the quarter, we received approximately $230 million in contract awards, which comprised of recompetes and contract expansions from primarily Department of Defense customers. Lastly, I would like to discuss the acquisition of InfoZen which we closed about a month ago. The company is a perfect fit with our strategy to expand our federal civilian market presence and expand our capabilities in IT modernization, Agile and DevOps software development and cloud migration. Furthermore, InfoZen's capabilities and threat monitoring and assessment for the Transportation and Security Administration complement the work we are performing under our Customs and Border Protection business intelligence support services contract. Overall, I'm pleased with the addition of InfoZen's talented employees, exceptional capabilities, excellent past performance and deep customer relationships. The integration is off to a smooth start and we are excited about our enhanced market positioning. Bill?
L. William Varner: Thanks, Dan. I'm pleased to report that the Mission, Cyber & Intelligence Solutions Group also had an exceptional quarter. As I've mentioned many times before, ManTech's full-spectrum cyber solutions and services, both offensives and defensives, are a core and foundational capability. We saw ongoing and growing demand for cyber operation solutions from several classified customers, which represented the vast majority of the nearly $400 million of our contract awards in the quarter. These wins underscore ManTech's longstanding presence as a trusted provider of differentiated cyber operations capabilities since 2002. I'm also pleased to report that our acquisition of Oceans Edge Cyber, which we acquired last year, is exceeding our growth expectations, and even more importantly, we are seeing the realization of synergies we had anticipated from this small, but highly strategic acquisition. As we mentioned last quarter, ManTech is investing heavily in our technical staff and evolving our capabilities. We announced the opening of our Advanced Cyber Range Environment this quarter. The range allows our customers to benefit from military grade cyber training, testing and evaluation capabilities on precise simulations of their own networks, testing their cyber security systems and personnel against real malware in a safe environment. The range will support both government and commercial customers. On a more personal note, as many of you are already aware, I have made the decision to retire at the end of this year. This year will mark my 8th with ManTech and over 41 years of supporting the intelligence community. I will continue to support ManTech on a frequent basis and look forward to spending more time with my family in California. Thank you, George and Kevin, for entrusting me to serve all these years as President of the MCIS Group and for the opportunity to lead one of the premier technology groups in the entire intelligence community. It has truly been a pleasure and a privilege working with all of my esteemed colleagues across ManTech. Kevin?
Kevin M. Phillips: Bill, it has been a pleasure working with you and all of us here, thank you for your service. You've been a critical member of the leadership team and we appreciate everything that you have done, not only for ManTech, but also for our customers and their critical missions during your career. In summary, we take pride in our reputation as a premier nationals and homeland security company with a mission first and customer-focused philosophy. We believe that much of our success over the years is attributable to this philosophy and our employees who bring a 110% of their energy in support of our customers every day. We're pleased with ManTech's strong performance in the quarter and year-to-date, and remain optimistic about the future. With that, we're ready to take your questions.
Operator: Our first question is from Joseph Vafi of Loop Capital.
Joseph A. Vafi: Hey, guys. Good afternoon. Great results and great bookings. I was wondering, if we could kind of take a step back and look at the nature of demand that you're seeing at a higher level. I think the InfoZen acquisition was an interesting signpost in the journey and evolution of government services, it was much more of a pure, let's say, software engineering firm versus a C4ISR asset, which was more of the type of M&A you saw as a sector a few years ago. And some of you comment on the direction of demand. And if the acquisition of InfoZen and certainly stronger bookings are kind of a pivot that you're seeing, where demand is occurring in the government, maybe more into software engineering, more like the private sector stuff versus some of the command and control, that's unique to defense and the government? And then, I have a follow-up.
Kevin M. Phillips: Yeah. So, I'll step up a bit on that. So, broadly, the cyber domain is a battle space, is an area that has everybody's attention and is a critical component for National Security and Homeland Security. And within that, there's an increasing recognition that we have to apply secured and scalable capabilities into enterprise IT systems. And those enterprise IT systems have to move towards over time in more current, in some cases, form of underlying technology. And so, when you look at the business at large mission IT, there's more data to collect, more data analyze and that's important from a predictive analytics standpoint, enterprise IT, the cyber security aspect of it is increasing in demand, which in part is why ManTech has been successful in that arena. And then, we're having to adapt some of the more current technologies from a capability set. Now that current – that also moves into your point on the commercial side is that, not into a commercial, but the application of commercial offerings into federal government customers in order to improve that is a focus area they have. The question is for what, I mean, there's a lot of offerings out there and to what purpose. So, I think, in that regard, it's more consistent with what they've done in the past, but they're more focused on moving in that direction in order to secure the network and have a scalable system.
Joseph A. Vafi: Okay. That's helpful. I guess, and I know that, you gave us a teens on 2018. But, is there a way to parse out that mid-teens between organic and what inflows and maybe providing at this point? Thanks a lot.
Judith L. Bjornaas: Yeah. So kind of at the midpoint of that range, it's a little more than half organic.
Joseph A. Vafi: Okay. Thanks, Judy. And then, if I just sneak one more and on these big bookings numbers that we're seeing mostly new business, what's the staffing environment like in order to – because the funded backlog is up nicely too, so it's translating into near-term business and your ability to provide services against that funded backlog at this point?
Daniel J. Keefe: Yeah. And on two of those three contracts on the State Department and on the JPL, I don't see much of an issue in filling those positions. When you start talking about the Customs and Border Patrol, we still are faced with security clearance requirements. So, that's a little bit slower. But we look for a full-ramp on all of them by the end of this year.
Joseph A. Vafi: Thanks very much.
Kevin M. Phillips: Thank you.
Operator: Our next question is from Rob Spingarn of Credit Suisse. Robert M. Spingarn - Credit Suisse Securities (USA) LLC Hey, good afternoon.
Kevin M. Phillips: Hi. Robert M. Spingarn - Credit Suisse Securities (USA) LLC Just related to that last question. When we think about the fact that some of these contracts extend out 10 years, when you look at the bookings in the quarter, what percentage of that is converts in the next 12 months?
Judith L. Bjornaas: Well, I mean, the two biggest pieces are 10 years, and I would say everything else is probably averaging about 5 years. Robert M. Spingarn - Credit Suisse Securities (USA) LLC Okay. And it's linear, so the 10 years, it's just sort of, State is like $80 million a year?
Judith L. Bjornaas: Well, it'll start lower than that. Robert M. Spingarn - Credit Suisse Securities (USA) LLC Okay. All right. And what percentage then of your sales for next year which if you do the math, I guess, is around $1.9 billion-plus, what percent of that is already in backlog?
Judith L. Bjornaas: Well, we've got a little less than 20% up for recompete next year, and then beyond that, I think it's a lighter than usual new business plug to get into that number. Robert M. Spingarn - Credit Suisse Securities (USA) LLC And when you talk about the margin expansion of 10 basis points to 15 basis points, it's sourced from a few different things it looks like, but how much of that is from pricing? In other words, are you pricing your current backlog or is your backlog priced at margins above what you're currently delivering?
Judith L. Bjornaas: Some of that depends on the customers themselves. We are seeing in new proposals that are going in an improvement in the receptivity to best value versus lowest price. But we still have pockets of the business that are more competitive than others. So not everything that we're submitting today is at margins higher than our current average.
Kevin M. Phillips: It's Kevin. I'll add to that. The need for speed, innovation, improvement of sustainment costs, they're definitely focused on the best value procurement model these days; very few exceptions, and they are moving towards what outcomes and outputs they're going to get from that dollar and that's kind of changing the behavior and the focus because of the need to improve their infrastructure. Robert M. Spingarn - Credit Suisse Securities (USA) LLC So that's kind of where I'm trying to go, guys. Is the margin expansion driven by that, the sort of migration to best value where the pricing is a little firmer, or is a lot of this self-help where you're just making a more efficient organization?
Judith L. Bjornaas: It's mostly going to be driven by the change in the environment. Robert M. Spingarn - Credit Suisse Securities (USA) LLC Okay.
Kevin M. Phillips: Demand driven. Robert M. Spingarn - Credit Suisse Securities (USA) LLC Okay. And then a last question – a high level question. I don't know if George wants to try this one, or Kevin, you or one of the business heads. But with the focus on readiness, and we heard quite a bit about this from Army leadership over the past months, particularly with regard to the tensions in East Asia, et cetera. What kind of readiness activity does your guidance imply or embed, and is there upside based on some of the latest commentary out of folks like General Milley...
Kevin M. Phillips: So – yeah, so... Robert M. Spingarn - Credit Suisse Securities (USA) LLC ...in their strategies?
Kevin M. Phillips: I'll comment on that. So our pipeline that we have is kind of defined based on the known demand from the government, our customers that we're going after. It doesn't try to include any surge in and around readiness within that, it's based on identified pipeline opportunities. This is industry-wide. If they end up getting sufficient money and want to try to surge things up, then they can do that, but I think they're going to be very pointed on what it is that they're trying to do and for what, and that's going to be more system-to-system and where they are on the readiness level. So it's very hard to tell you how we would apply that or could potentially apply that into each of the market segments we're in. Robert M. Spingarn - Credit Suisse Securities (USA) LLC Okay. Okay. And then just one last one, this goes back to the earlier question or the prior analyst. The organic growth next year, which you described as being slightly over half of the total growth, is that percentage growth consistent throughout the year, or do you start slower and ramp higher? How do we think about that on a progression basis?
Judith L. Bjornaas: I think it will start a little bit higher and then level out over the course of the year as we get towards the Q4 comp. Robert M. Spingarn - Credit Suisse Securities (USA) LLC Okay. So, it's a comp thing. So the first quarter should be pretty robust?
Judith L. Bjornaas: Yeah. Robert M. Spingarn - Credit Suisse Securities (USA) LLC Okay. Thank you very much.
Kevin M. Phillips: Thank you.
Operator: Our next question is from Brian Kinstlinger of Maxim Group.
Unknown Speaker: Hi. This is Jeffrey (00:25:56) in for Brian Kinstlinger. Thanks for taking my questions. On the proposals awaiting adjudication, what percentage are for new business?
Kevin M. Phillips: So on the proposals awaiting adjudication, over half is – awaiting is new business.
Unknown Speaker: So would that be a lot over half, closer to 75%, maybe closer to 50%?
Kevin M. Phillips: Approximately over half, not a lot over half.
Unknown Speaker: Thank you. The second question I have was can you just remind us if the Army consolidation contract had the 2% headwind and when the headwind would anniversary?
Judith L. Bjornaas: So those headwinds kind of phased out throughout the year and they pretty much anniversary Q2 into Q3. So everything was kind of working – worked its way out in Q4.
Unknown Speaker: Okay. Thanks. And one last question. As you started the new fiscal year, is there a significant difference between – in the procurement environment today versus the market at the same time last year?
Kevin M. Phillips: Our customers have more, as I mentioned before, focus on select number of items, they know what they need, they are focused on best value and outcomes based. And that allows for the investments that we've made in business development, solutioning, talent to help us differentiate ourselves in the best value environment.
Unknown Speaker: Thank you very much.
Operator: Our next question is from Gautam Khanna of Cowen and Company.
Gautam Khanna: Hey, thanks. A couple of questions just to clarify on the 2018 commentary. I'm assuming about a $100 million of annual sales at InfoZen. So, the implied organic may be in the 8% to 9% range, I just want to make sure I'm not being overly aggressive. But so inorganic growth from InfoZen of maybe $80 million to $90 million year-over-year. Is that fair or...
Judith L. Bjornaas: Yeah, that's fair, because we're projecting about $25 million in Q4.
Gautam Khanna: Okay.
Judith L. Bjornaas: So three quarters' worth.
Gautam Khanna: Three quarters. So, $75 million inorganic cash flow.
Judith L. Bjornaas: Yeah.
Gautam Khanna: Okay. In terms of the bookings in the quarter, did the mix in terms of cost plus T&M fixed price, is that – on the new bookings, was it accretive to that mix, are you more fixed price in T&M relative to the current... (00:28:25)
Kevin M. Phillips: It's more fixed price in nature, it's not necessarily T&M, it is fixed price and components moving towards outcomes based. So, there're shifts in that.
Gautam Khanna: Okay. Judy, in your remarks, I think you made a comment about some one-time items in the quarter from InfoZen related costs and what have you. Can you aggregate that for us, how much of an impact was that?
Judith L. Bjornaas: So, we also had some expenses related to the credit facility renewal that we did, amend and extend. So, I would say kind of those one-time items were between $0.5 million to $700,000 in that range.
Gautam Khanna: Okay. Got it. Do you guys have any preliminary view on amortization related to the InfoZen transactions on an annual basis?
Judith L. Bjornaas: We're still finalizing the purchase price agreement, but the first draft, it is coming in a little bit higher than we expected. But I'm expecting depreciation and amortization in Q4 to go from the 7.8%, that it's been running at 2% – a little over 9% – probably 9.2%.
Gautam Khanna: Okay. And tax rate to revert back up, right, to approximately 38% or what's that?
Judith L. Bjornaas: Yeah. That's what we're modeling, but we can't control the timing of those option exercises. So I've noticed a lot of our peers are also having kind of unpredictable tax rate, so.
Gautam Khanna: Okay. And there was – I'd just say a GAO protest and where you guys were denied the protest, and I just was – on a technicality, it seemed like, but what's the impact of recompete losses? Like, what are you absorbing in that 8% to 9% organic growth as headwinds next year, like that number, but it's net of things fading, so?
Kevin M. Phillips: Yeah. So that contract was for new work, it wasn't for recompete work that would have...
Gautam Khanna: Okay.
Kevin M. Phillips: ...supported an additional upside. So, it's not something that we would have had a high...
Gautam Khanna: Okay.
Kevin M. Phillips: ...probability in building to the number.
Gautam Khanna: Are there any other material recompetes, chunkier recompetes, if you will, that we should be monitoring besides CLSS next year?
Daniel J. Keefe: Yeah. This is Dan. The large MRAP contract is turned in, and we're expecting award here in the near-term.
Kevin M. Phillips: And beyond that, nothing big now.
Gautam Khanna: Okay. Thanks a lot, guys. Great quarter.
Kevin M. Phillips: Thank you.
Operator: Our next question is from Brian Ruttenbur of Drexel Hamilton.
Brian Ruttenbur: Yes. Thank you very much. Great quarter on the bookings. A question on taxes. In 2017, what is included for taxes as a percentage for the fourth quarter?
Judith L. Bjornaas: Right now, we're modeling 38% for fourth quarter.
Brian Ruttenbur: So you're looking for a full tax rate in the fourth quarter.
Judith L. Bjornaas: Right.
Brian Ruttenbur: And how about in 2018? Are you going to look for a full tax rate for the whole year of roughly 38%?
Judith L. Bjornaas: It will be between 37% and 38%.
Brian Ruttenbur: Okay. And then, you mentioned re-bid activity. I had been hearing that roughly 30% of your contracts were coming up for re-bid in 2018, and I heard a number of closer to 20%. Can you talk about that, and what are the big ones?
Judith L. Bjornaas: Yeah. So, the 30% number was really the cumulative through the second half of this year into next year, and we've had a number of those clear through adjudication or through a multi-year sole-source extension. The only real significant one is the one that Dan and Kevin just spoke about; the MRAP contract.
Brian Ruttenbur: So 20%.
Judith L. Bjornaas: Yeah.
Brian Ruttenbur: Okay. So it's closer to right at 20% for the re-bid?
Judith L. Bjornaas: Right, for 2018. There's virtually nothing left for this year.
Brian Ruttenbur: Okay. And then, this was asked once or twice already, but I just want to get a little clarity on the bookings. Is this primarily because of the up-tempo activity? Can you talk a little bit about the very strong bookings, because it's so strong even versus your peers that we're seeing, and I was just trying to – is it readiness, is it up-tempo? Can you address that a little bit more?
Daniel J. Keefe: Oh, certainly. As Kevin mentioned, it is part of the market and the upturn we're seeing. But the fact of the matter is it's winning large contracts that are out there that we now have the capability to go after and be successful at.
Brian Ruttenbur: Okay. Thank you.
Kevin M. Phillips: So, it's Kevin, I'll add to that. So two years ago I think it was, the average proposal volume just based on the demand from the customer was like $3.5 million submitted. It's been increasing every year for the past two years. That's why we're going to exceed $7 billion this year, and the visibility into the customer demand going into next year supports $7 billion or greater as well. And the timeline for their decision making is improving, not getting worse. So it's those combined factors that are helping our market for us to, along with the investments we've made and the differentiation of a more active level of contract award activity in our sector.
Brian Ruttenbur: Thank you.
Operator: Our next question is from Brian Kinstlinger of Maxim Group.
Unknown Speaker: Hi. I just wanted to follow up on one thing I asked earlier. In regards to the procurement environment, you mentioned that the customers are more focused on best value and outcome based, and you're positioned to take advantage of that. Do you see more RFPs or larger RFPs? What's the take on that?
Kevin M. Phillips: I think there are more or larger RFPs that we're going after because of our positioning. I think they're a select bundling, but it's not the driver of the larger bids, so it's more demand.
Daniel J. Keefe: And I'd add to that, that we're also seeing longer-term contracts.
Kevin M. Phillips: Yeah.
Daniel J. Keefe: We've moved away from some of the previous practices of short-term contracts.
Unknown Speaker: Okay. Thank you.
Operator: And our next question is from Tobey Sommer of SunTrust.
Tobey Sommer: Thanks. I wanted to ask you a question on the book-to-bill, as we're looking at that and trying to feed it into the growth going forward from – how do you – could you refresh us on how you define the book-to-bill and would treat long-term contracts and contract values in IDIQs and into assembling that number? Thanks.
Judith L. Bjornaas: Yeah. So, our definition of backlog as we take the full value of the awarded contract was any options. So, the full term of the contract as our bookings for that award, if it's an IDIQ, we do not take a booking, we take the booking at the time we receive the task orders.
Tobey Sommer: And that would hold true for IDIQs that you've done work on in the past and sort of win a recompete on as well as new ones?
Judith L. Bjornaas: If it's an IDIQ that we've held in the past and it's a similar award, similar group of awardees that we'll take potentially a modified smaller bookings to account for the fact that we're incumbents on some of those tasks.
Tobey Sommer: Okay. I wanted to ask you another question on the MRAP recompete. How would you assess your performance on that contract and how many competitive bids do you think are in vying for that work?
Daniel J. Keefe: Yeah. This is Dan. I think our performance has been strong and I couldn't comment, I don't know how many competitive bids are on.
Tobey Sommer: Do you see the opportunity for that business to increase with any of the military and any of the overseas activity that we have going on currently or is the outlook for spending on that contract relatively stable at this point?
Daniel J. Keefe: Yeah. I mean, I think the outlook is stable and it's been stable for the last year and I see that going forward in 2018.
Tobey Sommer: Okay. In terms of your indirect labor and utilization of direct labor, what sort of trend are you seeing if you've got this organic growth going outlook. As we head into next year, could you just describe kind of what expectations you have for direct labor as we move forward?
Judith L. Bjornaas: We expect our direct labor has grown year-over-year even into 2017 and I think it will continue – you know as a percentage of revenue, it will continue to grow into 2018. That said, we're also going to continue to make investments in growth areas and our capture and solutioning, so it might not be a proportional increase, but as the direct labor goes up, that frees us up to make additional investments, so indirect labor will go up to some extent as well.
Kevin M. Phillips: Yeah. So the overall utilization has improved over the last few years, and it'll probably remain here at the current rate because we are going to invest in (00:38:32) capabilities and feeding to the additional pipeline that's in front of us.
Tobey Sommer: Is there a subject matter or two that you might highlight as areas that you want to invest in to make sure you have capabilities ahead of contracts?
Kevin M. Phillips: We're going to continue to focus on the expansion of cyber across all domains, tactical and strategic. We're going to focus on cloud offerings and development to help our customers support over capabilities, that's going to be a continuing trend over time. And we're going to focus on to manage the mission IT components and enterprise IT components as well.
Tobey Sommer: Thanks, Kevin. Thank you.
Operator: Our next question is from Gautam Khanna of Cowen and Company.
Gautam Khanna: Yes. Just a quick follow-up on the M&A pipeline post the InfoZen deal, it sounds like you guys will be again pretty quickly in a net cash position. I'm just wondering if you see other acquisitions of similar size in the pipeline, or if you can give us any sort of flavor for what you're looking at?
Kevin M. Phillips: So, the acquisition pipeline remains, I wouldn't call it robust, but it's visible. It was very robust this summer. We've got back to our sort of normal range of outcomes in terms of the volume, and it's a range of sizes, just like it has been. So, there are definitely companies around the same size or some smaller, some larger that are out there.
Gautam Khanna: Okay. And in terms of capital structure, still comfortable going to 3 times, 3.5 times EBITDA in terms of debt – net debt to EBITDA?
Judith L. Bjornaas: Yeah. So, as you said, we'll definitely be back in net cash position relatively quickly and certainly have the capacity to continue to do larger or multiple M&A deal.
Gautam Khanna: Okay. Thanks a lot, guys. Appreciate it.
Kevin M. Phillips: Thank you.
Judith L. Bjornaas: Okay.
Kevin M. Phillips: Chelsea, it appears that we have no further questions at this time. As usual, members of our senior team will be available for any follow-ups. Thank you all for your participation on today's call and your interest in ManTech.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you for your participation and have a wonderful evening. You may now all disconnect.